Operator: Welcome to the Randstad Q4 and Full Year 2025 Results Conference Call and Audio Webcast. [Operator Instructions] I will now hand the word over to Sander van't Noordende, CEO. Mr. Sander van't Noordende, please go ahead.
Alexander van't Noordende: Thank you very much, Alba, for that introduction, and good morning, everyone. I'm here with Jorge and our Investor Relations team to share our Q4 and full year 2025 results. First of all, 2025 has been a year characterized by great strides in our transformation, while I would say, navigating the cycle and demonstrating a resilient performance. It's also been a special year as we celebrated Randstad's 65th anniversary, a milestone reflecting our enduring commitment to being a true partner for talent. The market environment in Q4 was in many ways similar to what we saw throughout the year. We remain in a stagnant job market, but we see more resilience in Temp with good growth in Southern Europe, and we see further signs of an early cyclical pickup in U.S. Operational. As mentioned in the previous call, the Professional and Perm markets remain challenging, particularly in Northern Europe, while APAC remains resilient. Against this backdrop, we delivered solid results. We achieved revenues of EUR 5.8 billion and an EBITDA of EUR 191 million with a margin of 3.3%. For full year 2025, we delivered revenues of EUR 23.1 billion, 2% lower year-on-year, and an EBITDA of EUR 720 million with a margin of 3.1%. So I'm very proud of how our teams navigated their markets during the year with a consistent focus on delivery of results while transforming the business. So whilst 2025 was a challenging year, we came out of the year in a much better place than we went into it. First of all, from a growth perspective, we now have over 50% of the business in growth compared to around 25% at the end of 2024. From a profitability point of view, we reap the benefits of our cost discipline with EUR 181 million lower cost in 2025 than in 2024, and our recovery ratio was very strong at 71% for the year. From a productivity point of view, our focus on delivery excellence through our talent and delivery centers is making us a more [Technical Difficulty] organization. And as a [Technical Difficulty] we achieved 3% productivity gains in Q4 and 1% for the full year. This discipline led to a solid free cash flow of approximately EUR 600 million, further strengthening our balance sheet. In light of this, we will propose a dividend of EUR 1.62 or EUR 284 million, in line with our capital allocation policy. We started 2026 with stability in our volumes. Our exit rate in December was solid and the January revenue trend is flattish. Of course, we remain laser-focused on serving our clients and talents while steadily executing our partner for talent strategy. In Q3 and Q4, I visited all major countries, and on the ground, you can really feel the energy and excitement for our transformation. Our people get it and want to lead the market as we continue to move our business model toward a digital-first talent company where we deliver [Technical Difficulty] scale through our platforms. While there is still work to do, we are seeing the clear benefits of this transformation in how we run the business day-to-day. First of all, we continue to [Technical Difficulty] life sciences, e-commerce and logistics, health care and, of course, all the digital hot skills around AI, cloud, data and analytics. Together, these segments delivered EUR 9 billion in revenue this year, growing 2% year-on-year. Looking at our specializations. In Operational, we've seen good commercial progress and sustained momentum with an increase in clients' visits paying off. In Digital and Enterprise, we signed several new blue-chip clients in semiconductors and financial services. However, professional job flow was impacted by a combination of year-end slowdown and low hiring confidence. With our digital marketplaces generating approximately EUR 4 billion in annualized revenue, we are running the business at a higher clock speed. In Q4, we saw around 1.4 million shifts self-scheduled by our talent, an increase of 30% quarter-on-quarter. Clients and talent clearly like the new models. We will further accelerate our digital-first strategy, and that's why I'm very pleased to welcome David Koker, who will be Randstad's first Chief Digital Growth Officer. David knows how to build digital experiences at scale and brings over 25 years of experience in driving commercial and platform growth across Europe and Asia, most recently at Booking.com. Finally, none of this is possible without the best team in the industry. Despite the pace of change, our employee engagement remained above benchmark at 7.7. And we also continue to invest in our people's future by providing AI readiness training to all of our colleagues. And you will understand that with everything we've done in 2025, both operationally and strategically, we couldn't be better positioned for a more complete recovery with profitable growth as we are more specialized, more digital and more efficient. Jorge, over to you.
Jorge Vazquez: Thank you, Sander, and let me shed some extra color on our results. So good morning, everyone. All in all, we saw a continuation of the trends observed throughout the year. And always first from a momentum perspective, once again, the seasonal pattern continued as we added 15,000 talent working sequentially since Q3, again, versus 10,000 last year. Earnings-wise, Q4 and Q3 were very similar. It was somewhat of an erratic quarter, I would say, in what was overall a step towards a stronger exit rate in December and the start of January. That is encouraging, and we'll talk more about that later. We also continued to gain field productivity and materialized structural cost savings in indirect costs achieved even while increasing digital investments. Lastly, disciplined cash conversion, allowing us to balance deleveraging with shareholder returns in line with our capital allocation policy, and also more about that later. But let's start and break this down, starting with the regional performance now on Page 8. In North America, we continued to see good progress this quarter with a pickup in the industrial pockets of our business. In U.S., our Operational business grew 6%, significantly ahead of the market. And we see this as a very testament to our new way of working, centering on the digital marketplace and central delivery. Elsewhere, Professional is down 10% and Digital this quarter was flat, but with solid operational leverage. Enterprise was minus 3%, with demand in RPO becoming more muted as we reached year-end. Meanwhile, in Canada, we continued to grow. Permanent hiring showed also some signs of stabilization, albeit at a low level, declining still 14% as hiring confidence remains low. The EBITDA margin for North America came in at 3.6%, up 20 basis points year-over-year. This represents a recovery ratio of above 100%, meaning we've been able to expand EBITDA year-over-year more than the gross profit we lost with productivity continuing to increase in Operational. And now moving to Northern Europe on Slide 9. In Northern Europe, we continued to navigate challenging markets, though as we exit the year and enter 2026, exit rates in December and January suggest bottoming out or sequential improvement. In the Netherlands, organic revenue remained subdued at minus 7% with hiring freezes in government and large professional clients. Q4 [Audio Gap] this quarter an increase of the sickness provision, reflecting a rise in long-term sickness rates and going forward as well probably to stay relatively high, and a EUR 5 million one-off dotation into the new pension scheme. Looking ahead, the new Temp CLA and the Future Pensions Act, WTP, effective of January 1, will increase some of the wage components. It is still too early to tell what the legislation impact will be, but at first glance, we see higher bill rates offsetting some of the pressure on volumes. We also celebrate 1 year of the acquisition of Zorgwerk, which continues its impressive growth and synergies path, reinforcing our position in health care as a structural growth segment. In Germany, things remain challenging with revenue at minus 10%, driven still by subdued automotive, though manufacturing is stabilizing. More importantly here, our structural improvements on the cost side, as you can see, are paying off, ensuring a profitability base and positioning us for a stronger company into 2026. Belgium declined 5% with operation at minus 4% against tougher comparables. And finally, Poland, 7% growth, Switzerland, 6% growth, continued to lead growth, offsetting the subdued Nordics, still at minus 14%. And now moving on to the segment Southern Europe, U.K. and LatAm on Slide 10. France remains a story of a 2-speed market. On one hand, we see resilience in our industrial pockets, and this is most visible in in-house, which grew this quarter at 13%. On the other hand, the SME segment is still down double digits, leading to an overall operational decline of 4%. Professionals were down 14% year-over-year. And this quarter, health care saw sequentially less revenue, impacted primarily by legislative changes that came into effect in December. Our leaner structure enabled us to deliver an EBITDA margin of 5.4%, up 130 basis points year-over-year. Italy posted its seventh consecutive quarter of growth. Operational grew 6%. Profitability landed at 5.7%, reflecting strategic investments ahead of the Randstad talent platform rollout. Iberia remains a stronghold, plus 5%, led by Spain, up 6%, where growth investments are paying off. Elsewhere, the picture is mixed. The U.K. remains tough. And across these regions, conversion does continue to increase, resulting in a 3% EBITDA margin. And now let's move on to Asia Pacific on Slide 11. Japan continued its solid growth at plus 6%, and we continue to invest to capture structural opportunities, particularly in digital engineering, where we're growing 7%. India delivered double-digit growth as we continued to invest in growth segments, while Australia and New Zealand declined 7% against steep comparables in a subdued market. Overall, the EBITDA margin for the region came in at 3.3%. And that concludes the performance of our key geographies. But now let me walk you through our combined financial performance on Slide 13. Let's start with the revenue. So looking at the revenue mix, we see the trends of the last few quarters continuing. Operational specialization continued to improve throughout the year and is now flat. Professional and Digital remained broadly stable throughout the year, albeit still at a low level. In Enterprise, we saw after several quarters of solid growth in RPO, demand softening in this quarter, resulting in a 4% decline. If we move down, gross profit and OpEx remained very similar to Q3 levels, and this resulted in an EBITDA margin of 3.3%, stable sequentially and year-over-year. Underlying EBITDA came in at EUR 191 million, and it's worth noting that we again faced an adverse FX impact of around EUR 8 million. Adjusting for that, our operational profitability was very close to last year's level. Integration costs and one-offs this quarter amounted to EUR 34 million. And for the full year, one-offs totaled EUR 125 million with the largest focus on structural cost reductions in Northern and Western Europe. Regarding amortization and impairment, we recorded an impairment of EUR 9 million related to our digital business in Belgium, reflecting the ongoing weak market conditions there. Net finance income of EUR 5 million for the quarter, where fair value adjustments, reversal of impairments on our loans and financial commitments resulted this quarter in a gain of EUR 18 million, effectively offsetting our regular interest expenses for the quarter. The effective tax rate was 31% for the year, within our guided range. In 2026, we expect a similar tax rate guidance of 29% to 31%. And this all leads to an adjusted net income of EUR 135 million for the quarter. And with that, let's now dive deeper into the gross margin slide on Page 14. A few things about margin. So Temp margin was down 20 basis points year-over-year. Operational business remains more resilient versus Professional and Digital specializations. There we continue to see a geographical divergence with Northern Europe below group average and Southern Europe continuing to do better. And as we mentioned before, an adverse FX impact in 2025. Incidental items also took an impact in the Netherlands, as mentioned earlier, and that overall brought the gross margin in Temp down 20 basis points. Perm contribution was down 20 basis points as well with a little sign still of stabilization in key perm markets remaining challenging. In HRS and other, this quarter was flat. RPO decline, 3%, 4%, is pretty much in line with group level, therefore, not impacting the overall gross margin mix. This is the market at the moment. Overall, looking back at 2025, the impact of geo mix, enterprise clients and specialization mix with Operational being more resilient carries a Temp margin decline that will progressively unwind with different market dynamics. Which brings me to the OpEx bridge on Slide 15. And remember always, this one is sequential. Underlying operating expenses were EUR 880 million, once again, like throughout the year, moving in lockstep with gross profit. This means OpEx has stayed broadly in line sequentially, with seasonality and strategic investments offsetting cost -- offset by cost savings. The payback of the one-offs executed throughout the year remained well below the 12 months reference we normally provide. And the real story here is our 71% recovery ratio. Over the last 3 years, we have become structurally more agile. Our structural changes to how we conduct and support our business have improved our ability to recover the decline in gross profit by reducing operating expenses or to convert more of gross profit into EBITDA in the countries where we see growth. Today, we have more revenue also going through delivery centers. We have more parts of our process done digitally, and we have more and more revenue in our digital solutions. At the same time, in parallel, we continue to drive structural indirect costs down. Linking this back to our Capital Markets discussions in May, I am pleased to share that we've achieved north of EUR 100 million in net structural savings for 2025. And with that in mind, let's now move on to Slide 16, which we discuss cash flow and balance sheet. Turning to cash flow. Our underlying free cash flow for the quarter was a positive EUR 213 million, reflecting mostly seasonality. For the full year, free cash flow totaled close to EUR 600 million, up EUR 260 million year-over-year, reflecting good cash conversion, while year-end timing was supportive in 2025. DSO came in at 56.7 days, up slightly by 0.5 days sequentially. Net debt, therefore, decreased EUR 274 million year-over-year, and our leverage ratio now stands at 1.3. Consistent with our capital allocation, we proposed a regular dividend of EUR 1.62 per share. This reflects 64% of adjusted net earnings, which equals the floor when we temporarily exceed the 40% to 50% range. And that brings me on Slide 17. All in all, we see further volume stability, especially in our Operational business with 50% of the business in growth to continue, and for the remaining 50%, we see support by improving end markets or annualization of some of the sharper declines of last year. In concrete, we are encouraged by the revenue trends, with a better exit of the quarter than we started and January coming in at 0.4% decline per working day. Q1 2026 gross margin is expected to be broadly stable sequentially as we see more adverse effects and the lower Perm and RPO business offsetting some of the improved mix. Operating expenses are expected to be lower modestly quarter-over-quarter, and I believe it should be at least in the range of $10 million to $15 million, a reflection of our efforts taken this year. Lastly, the number of working days will be the same. For Q1, we stayed the course, balancing growth, strategic initiatives and then to protect relative profitability, although we never optimize for a quarter and we set ourselves for the year and the years to come. And to summarize, 2025 was an important year for Randstad, finishing better than we started and setting us up for a better 2026. In terms of growth, decline rates eased over the year, and we entered 2025 at minus 5% and we finished with 50% in growth, and in the rest, bottoming out. Started 2026 crossing the line in terms of growth. And more structurally, we continued to position ourselves where growth is, our growth segments, and successfully integrated Zorgwerk. In terms of field productivity, we continue to change how we work, digitizing more and with real revenue now flowing through our marketplaces in various countries and markets, with especially our Operational and Digital business marketplaces showing good progress. SG&A and indirect costs, we also took more than EUR 100 million structural costs that are now not coming back. In terms of profitability, the short-term plan was adaptability, but the long-term plan is about structurally building operational leverage and resilience, breaking the linear model, as we normally discuss, and the expectations that come with it. If anything, in 2025, we've become more structurally more agile and scalable, proven by the 71% recovery ratio and despite continued investments. This has allowed us to deliver strong adaptability and now set the performance frame for 2026. That concludes our prepared remarks, and we now look forward to taking your questions.
Operator: The first question comes from Remi Grenu from Morgan Stanley.
Remi Grenu: A few questions on my side, if I may. So the first one would be on organic growth. So good to see that it's trending in the right direction, I guess, going into 2026, but there is still a little bit of a gap with some of your competitors. So I'd like to understand how you would explain that gap and how you intend to bridge it. So is it about the necessity to reposition the business on more supportive segments? Is it about hiring more FTEs to generate volume? Or maybe a little bit of issue with the pricing positioning versus competitors? So just want to have your take on that competitive landscape and how you intend to bridge the performance gap. The second question is on what you alluded to in the Netherlands. So there is this Dutch law coming into effect in July, if I'm not mistaken. So I just wanted to understand if you feel like the employers -- I mean, the clients you're discussing with have already adjusted ahead of the change? Or if you feel that there could be additional pressure in the second half of this year? And if so, if it's possible to quantify it a little bit given the revenue exposure of the company to that country? And then the third one would be on your Enterprise business. So I think you said it was a little bit softer this quarter. What has driven that softness? Is it company-specific large contracts you would have lost or which would be ramping down? Or are you seeing largest employers being a little bit more cautious on hiring trend going into 2026?
Alexander van't Noordende: Well, let me take a step back because, of course, it's all about growth here. So let me just sort of reflect on what's going on here. So let's maybe first make a few comments on Q4. As Jorge mentioned it, the way we see Q4 is that we had a little bit of a blip in a few parts of our business, and the blip was primarily in October and November because December and January have shown encouraging results. And I speak specifically about France, Belgium and Germany. And the story is with different reasons, more or less the same for those big 3 countries. In Enterprise, your question is a good one. The main issue in enterprise is that we have seen somewhat lower hiring in Q4, basically some of our larger clients putting on the brake, stepping on the brake, not stopping, but reducing hiring in Q4. We have, at the same time, signed up a bunch of new clients which we are bringing up to speed in Q1, and hopefully, the revenues for those clients will start to come through in Q2 and definitely in Q3. So that's sort of the Q4 reflections. Then if we look forward, we see that 50% of our business is in growth, and we are optimistic about the other 50% also improving from here on. What's driving that? Well, first of all, just sort of the macro headwinds are easing. Interest rates have been coming down. Inflation is easing. This whole thing about trade is more like the new normal. Clients are dealing with it, are knowing what to do, have taken their measures. So that's -- the uncertainty is somewhat dissipating. The labor markets are getting unstuck. We see more mobility. We see some people -- more people leaving, some layoffs even here and there. So there's more dynamics and more mobility in the labor market. All of that could indicate a cyclical pattern, if you will. Temp is definitely more resilient and North America operational is leading the way here. That's great. In Europe, as I said, in those big 3, 4 countries, we see an encouraging start of the year as well. So that's all positive, I would say. Then last but not least, and this is really important -- I mean, obviously, we have been building a more resilient and agile Randstad. And what does that mean? That means, first of all, a better experience for our clients and talents because that's why we are here on earth, that's how we make a living. But also all of that is fully focused on creating more leverage. So you have to realize that over the last years, we have been investing more than EUR 500 million in new processes, systems, talent centers, delivery centers, technology, and all of that is creating not only a better experience, but it's also creating more leverage in our business. That's talent centers. We have to meet the talents where they are, and the talents are online. So we have talent centers complemented with technology, increasingly AI, by the way, to get more efficient -- to be more efficient in getting talent in the door. That's delivery centers, the central delivery for clients that have multiple locations with dedicated teams focusing on improving the fulfillment at those clients. And the results that you see left and right are actually quite staggering. Then the DMP, and North America is a case in point. If there's one example of operational leverage, it's the DMP. If the client is asking for 100 people more, we can deliver those people -- we can deliver those 100 people more tomorrow with 0 marginal cost. That is how a DMP works, and that's extremely, extremely powerful. So all of that to say that we're steering the business in a very disciplined way, as you know. So we're aiming to do the same in 2026 as we have done in 2025, is steering with an ICR and IRR above historical levels, like we did in 2025, and you know we had 71%, which is, of course, something that we are extremely, extremely proud of. So in short, I would say I'm actually pleased to get another 4 years in Randstad because I haven't been more optimistic at the beginning of the year in my tenure in Randstad. And you may know the saying every dog has its day. I think my day as a dog has maybe come starting in 2026. So I'm optimistic.
Jorge Vazquez: Just one -- Remi, your second question, if I'm not mistaken, was about the Netherlands. So just to be clear, the new temp CLA and the changes you were alluding to, they actually start on the 1st of January. We are working with our clients. It's a bit too early. I think, by and large, the increase we see in wage components, let's put it like this, will offset, if any, the volume pressure that we might see. But for now, that's what we are working on, yes.
Operator: The next question comes from Andy Grobler from BNP Paribas.
Andrew Grobler: Just the one from me and a follow-up. Just in terms of gross margin, could you talk a little around the underlying pricing you're seeing in the constituent parts? And essentially, to what extent is the downward trend in gross margin about -- just about mix versus like-for-like changes? And particularly on that, your guide into Q1, sorry, and the moving parts inherent within that?
Jorge Vazquez: And let me basically just take a step and look at the full year and then how we enter 2026, because some of these things start potentially changing as we enter the year. So in terms of gross margin -- I mean, let's separate things. There's a service mix as always and then there's a temp margin. And I think we talk a lot about pricing, but I should also think I'll talk more about the market and the market we have today and how the industry is supporting different clients, different geographies and what we see. Today, we have a Randstad that from a geographical perspective has growth and is supporting more clients in countries where there's a slightly lower temp margin, think Spain, think Italy versus, let's say, the Central European countries. But that's basically a geographical mix. We also have a client base at the moment in an industry that is leaning towards a bigger share of large clients, think in-house, think very large enterprises. And that, of course, brings as well a client mix impact. And thirdly, and not the least, if you look at our specializations, and it's in line somehow with previous cycles that we've seen before. What is holding up better is clearly the Operational business. It's flat even at the end of the year, crossing into growth already. And we see the higher skilled specializations, think of professional, digital, still with, let's say, year-over-year declines. Meaning, again, the higher margin specializations declining and the lower margin specialization continuing to increase. Now this is the market we have today. And if I look at 2025, we have basically around, I would say, 60 basis points delta on our gross margin, if you kind of normalize it throughout the quarters. And I would say 40 basis points -- Andy, that's the mix. It's the market we have today. I don't like to talk about mix because this has consequences for OpEx, has consequence for everything. It's where we have market and it's where we are gaining, it's where we're going to operate. We also had an impact of 20 basis points from perm and a positive impact somehow from RPO as RPO was basically throughout the year growing faster than the group. That means approximately 60 basis points in 2025. If we now look at 2026, what is likely to happen, right? This 40 basis points from the temp side of things, so the geo, the client and specialization -- we don't really know, we want to grow everywhere. But clearly, they are starting to annualize or will start to ease. If there's growth, more growth in the U.S., if it continues to be supported in Southern Europe, one way or the other, some of the things will annualize in the higher-margin accounts, and we should start seeing things bottoming out on at least easing the comparisons that we had. The same with client mix. I can't tell you we want to grow in every single client segment, but somehow, if we look at previous years, once things indeed increase towards large clients, the years after start analyzing. And the specialization is the same. We're crossing over into growth and operational, but we still need to see how professional, how digital will evolve into 2026. Remember, we have pockets in digital. Look at United States, we're either in growth or flat. So it's already a very different start of the year than we had in 2025. And then perm, we continue still to count on 20 basis points, potentially 10 for now. We'll see how things ease throughout the year. RPO, Sander alluded to it. The positive impact has now in Q4 kind of faded away. On the other hand, it will be about balancing business as usual with new implementations. And the pipeline and FX adds particularly in Q1. And remember, a lot of the bigger fluctuations happened in Q2, Q3 and Q4. So as we now ease into the year, FX will have an impact in Q1 and not in Q2. So at least if things don't change, less in Q2, Q3 and Q4. So again, into 2026, we see pretty similar margin trends as 2025, and potentially as we go into the year, easing off in some of the components.
Andrew Grobler: Okay. And just one follow-up in terms of the in-house sort of large clients versus SMEs. In fairly broad terms, can you talk about the difference in gross margin between your average in-house solution and your more sort of branch-led SME business?
Jorge Vazquez: Yes. I would say, I mean, probably 10 to 15 -- it depends on the markets, right, Andy.
Andrew Grobler: Yes, inside France, for example.
Jorge Vazquez: 10 to 15 basis points roughly, I would say, on average at group level. I don't specify for country.
Operator: [Operator Instructions] The next question comes from Rory McKenzie from UBS.
Rory Mckenzie: It's Rory here. I wanted to ask about the impact of the digital marketplaces. How much do you think is visible in these numbers? If it's now annualizing at nearly 20% of revenues, you called out 1.4 million self-scheduled shifts. Can we see that at all in the North American growth rate? Do you think that's been a part of why you've seen that improve? Has it allowed you to protect margins more? Or really do you think we're still waiting to see more of those benefits over time as market volumes recover? I know there was another restructuring charge in the quarter as well. So maybe could you say how much of that is relating to kind of the structural reshaping compared to maybe adjusting to the market conditions?
Alexander van't Noordende: Well, where can we see the impact of digital marketplaces in our numbers? Well, first of all, in North America, in Operational. I think that part of the growth is because of our digital marketplaces, because once clients ask more, we are much faster and at much lower cost, of course, to deliver those additional FTEs. The digital marketplace is also differentiating us in the marketplace because some clients are saying, with Randstad, we have access to talent that we otherwise would not have. So it gives us a leg up in competing against our competitors for new clients. We have seen the productivity in terms of EWs per FTE now surpassing the level of 2019. So that's a good sign. So you can see it in the U.S. at scale. The other places that we can see the impact of the digital marketplace are in health care. So in health care in the Netherlands, there has been a big shift from freelance to temp. Without the digital marketplace, we would not have been able to make that shift at the pace that we have been doing over the course of 2025. And it's actually quite phenomenal what that team has pulled off there over the last year. Similar dynamics both in France, where we have, of course, some challenges with regulation. But because we have the digital marketplace, we're better to navigate that. And last but not least, I would say, in Australia. Finally, in Randstad Digital -- and I spent time with the team last week. About 80% of our fulfillment is now coming directly from our community in our digital marketplace in Randstad Digital in the United States. Obviously, you can imagine that means faster, that means more productivity and the likes. Now obviously, this is all EUR 4 billion on an annual basis. So we're now going to work hard to expand that to other markets most likely, so markets that we are focused on in 2026, Belgium, Italy, Switzerland, Japan, Poland, just to name -- Canada, just to name a few. So this model works. Clients and talent like it. We can now look at the business and run the business in a much more granular way. And frankly, we are start to -- we're only touching the surface -- scratching the surface of the opportunity that the digital marketplace is offering us in terms of talent availability, efficiency, precision, relationship with talent, redeployment. We're just scratching the surface. So I'm extremely optimistic. This model is working, and more to come.
Jorge Vazquez: Rory, any follow-up question?
Rory Mckenzie: Just about the -- maybe the disruption charge in Q4, and how much of that is related to kind of reshaping the business to get the most out of this platform compared to adjusting to the cyclical conditions?
Jorge Vazquez: The one-offs. Yes, sorry. Yes. Sander, can I just complement something from a finance perspective? Everything you heard from Sander, what excites me, Rory, is it's structurally changing the ability that the company has, becoming more agile, but also gearing up and converting. So a lot of what we sought was the art of the possible. We now see the benefits of digital and the benefits of everything we're doing, starting to basically be possible also in our industry and in Randstad. And that's quite exciting. In terms of one-offs, let's be clear, they continued elevated in 2025, though lower than in 2024 and 2023. More important I would argue, when we make these decisions in terms of allocating capital to it, is the return on them. And from that perspective, if I look at the return we had from the one-offs, you can actually already see this very clearly in Q4 and as we enter into Q1. So a large part of, almost EUR 30 million, EUR 35 million actually, reduction in OpEx we had in Q4, I would say almost 2/3 of that were directly driven from the one-offs done this year. And we are well below the 12-month target that we set ourselves internally. And that will support us again into Q1.
Operator: The next question comes from Marc Zwartsenburg from ING.
Marc Zwartsenburg: Two questions from me as well, first on the EBITA margin in North America. The progress, 20 basis points year-on-year, it was a bit higher than previous quarters, but still conversion ratio of 100%. But how should we think about that margin in 2026? Should we see that the productivity gain from the digital marketplace and the self-placement or self-scheduling to feed through and the step-up -- really a step-up in the margin in '26, because now it's a bit volatile in the progress on the year-on-year? Can you maybe give a bit more color on what we should expect there in terms of margin progression? And then following up on that, on the cost base. You already mentioned we should see the cost base will be relatively flat or slightly lower in Q1. How should we think about that throughout '26? Will you be able to offset all the inflationary because inflation is coming down, that you will be able to offset that? And that you can keep that OpEx level rather flat throughout the year? How should we think about that? And also in relation to the one-offs, how many one-offs will we see in '26 to keep that going? That's it.
Jorge Vazquez: Okay. I mean, first on the U.S. So yes, in terms of we want to see a step-up in profitability. There's a few things at play, Marc, as well. The exciting thing is we're seeing 10% productivity gains. You can see it in our numbers already in the U.S. overall, even more parts in our Operational business, where a lot of this model is already helping us supporting growth. We still see perm somewhat subdued. Props still to recover as you've probably been reading on other players in the market. RPO also not necessarily yet in sustainable growth, though Sander alluded to it we are winning new business or we're implementing new clients. So there's a few variables there. But in short, yes, we want to see and we will see a step-up in profitability in North America. In terms of the cost base, let's -- and the one-offs, let's look at it. We're actually starting the year at a lower level. I mean, I want to make a side note. We're now probably have the OpEx way below 2018, 2017 even levels of OpEx. So clearly, let's say, a lot of the OpEx we have incurred and we have perhaps inadvertently structurally had through COVID, a lot of it has been corrected back. And to the question of one-offs, the point here is making sure that it will not come back, because this is also eliminating and improving how we work and basically making sure they work differently. The point of having incurred these one-offs is to make sure this does not come back, these costs. So we are a leaner and meaner Randstad as we now prepare to cover -- or to go over into growth in 2026. If we then look at the exact OpEx level, look, we'll start low in general with the seasonality of the year. We see growth in many markets and it's stepping up. So I don't want to make obviously a comment about our OpEx will stay flat throughout the year, but it's optional for us. So we can choose depending on how much growth we see and how we want to support potential opportunities in growth, how to develop our OpEx going from Q1 onwards. And we will never sacrifice growth for a quarter result or performance. But yes, we have the option within us.
Marc Zwartsenburg: That's very clear. And then from a cash flow perspective on the one-offs, is there any cash outflow to be expected from the one-offs still in '26?
Jorge Vazquez: Yes. I mean, look, as we continue to roll out -- again, they were lower this year. I don't expect them to -- I mean, I expect them again, if anything, to exist to be lower than 2025. But remember, I also told you very clearly, from a cash allocation, this is probably one of the best -- well, we shouldn't talk about it like that. But from a return perspective, it is way below the 12 months. There is likely to be some one-offs, but things are bottoming out. It's more about continuing to roll out better ways of working and our functional target operating models. That's basically where we -- what we are focused now.
Operator: The next question comes from Simon Van Oppen from Kepler Cheuvreux.
Simon Van Oppen: I would like to extend on Remi's question about the Netherlands. So we saw that revenues in the Netherlands was down 7% on an organic basis against an easier comparison base, while your corporate staff was actually up by 60 people in the Netherlands. And Jorge, you mentioned increase in wage components potentially offsetting volume pressure around regulations. But how should we look at profitability in the Netherlands for 2026? And can we expect further pressure on profitability with potentially higher number of FTEs due to more administrative work around the new regulations?
Jorge Vazquez: So let's -- first of all, on the Netherlands. So if you look ahead, yes, there's a big legislation change. I just told you that the first view we have is -- and remember, we're #1 here clearly. So it's where we also can add responsibility to lead the market in terms of implementation of legislation. And in that respect what we see for now is bill rates offsetting some of the volumes. We also see Zorgwerk stepping up and in growth territory. So you see a lot of things into Q1 that support growth. And from a headcount perspective, this is probably a big change, one of the biggest change we had over the years in the Netherlands. So there is a temporary ramp-up, let's say, of people to help us, basically making sure that everything is in order for our clients and for our talents. Remember, we're #1. So for many companies, we are their partner, the one partner in the Netherlands in terms of managing flexibility and contingency on talent. And in that respect, we are basically making sure that everything is ready for this particular quarter. Also take into account -- if you look at some of the one-off -- or the restructure costs that we've taken, they are primarily concentrated in Northern Europe, and, of course, that also includes the Netherlands, as we adjust to the running rate of the 7%. So we're not standing still. We're making sure that the legislation is well implemented. There's always opportunities and risks, but more important, we're also focusing on making sure that the business is balanced for 2026.
Operator: The next question comes from Vasia Kotlida from Barclays.
Vasiliki Kotlida: I have 2 questions. First one, you mentioned new client wins. Can you please give some color on what industries and geographies? And the second is about the January trends. These are almost flat. Is that comp related or a genuine pickup in activity from Q4 that was up minus 2%?
Alexander van't Noordende: Yes. On the new client wins, a couple of exciting deals in RPO and MSP in Life Sciences and in Financial Services, primarily, I would say, in North America and a couple also here in the core of Europe. So good news there.
Jorge Vazquez: Yes. On the second question on the growth rate, Vasia. If you look at Q1, I mean, Sander alluded to it, we have 50% of the markets already in Q4 in growth. So again, those markets continue to be in growth, and in many of them, even encouraging signs. Also in volume -- I mean, we are literally crossing into volume growth already. And Q4 was probably the first quarter, I would say, since Q2 2022 that we were flat in employees working. So things clearly seeming to bottom out. And we see strong momentum in the U.S. and Southern Europe. We also see a stronger or a better, I would say, exit rate in France. It's in line with market data. We just talked about the Netherlands, where we have slightly higher bill rates, and we also have Zorgwerk in growth. And in general, also, if you look at some of the more challenging markets like particularly in Q4, Belgium and Germany, let's say, the blip we saw in comparables in Q4, we now go back to the trend of Q3, so again, improving into Q1. So overall, we see supported revenue trends into Q1.
Operator: The following question comes from Simon LeChipre from Jefferies.
Simon LeChipre: A follow-up on gross margin. So you are pointing to top line momentum improving into Q1 and particularly in North America, which should help gross margin. But your guidance suggests gross margin being down 90 bps year-on-year in Q1, which is a sequential deterioration. It was minus 40 bps in Q4. So how do you explain this? And my follow-up question is on -- so your 3% EBIT margin floor. I mean do you expect to break it in Q1? And are you confident to maintain this level at least for the full year?
Jorge Vazquez: So I mean, we don't -- Simon, we don't necessarily give guidance for a quarter. I think what the tone -- and Sander was quite clear on it, and I'm happy to confirm it from a financial perspective. We've built operational -- I mean, we can talk about adaptability in 2025. I think the year is more important than that, mainly because we've built operational gearing throughout -- let's say, for Randstad. So in terms of looking to 2026, I mean, given the current economic scenarios we see and even a range of them, I'm pretty sure we've built the ability to improve the results and profitability going forward. If I look at the gross margin in particular, I think -- again, I tried to when talking to Andy to try to break out a little bit from the fog and the mist of one quarter and the other. We had incidentals in Q4 and Q1 last year. So that kind of mixes up things a little bit. But what you see into Q1, you see still a perm environment that is more negative than we had expected. You see probably -- but okay, we cannot obviously predict that -- a very subdued FX impact. Remember, Liberation Day and a lot of the swings or the corrections we got in exchange rates happened in Q2 last year. And we see RPO a little bit negative vis-a-vis what had been throughout 2025. And this offset some of the better mix that we have. If anything, it better notch up as we go into 2026 for some of the annualization of our geo clients and specialization mix, as I explained before.
Operator: Our next question comes from Konrad Zomer from ABN AMRO - ODDO BHF.
Konrad Zomer: On the bill rates in the Netherlands, I understand that some of the bill rates have gone up as much as 15%, mainly due to the pension regulatory changes. What could be the time delay in terms of volumes to come down? Because if temps get more expensive, I can see why employers would be more hesitant to recruit. And also, I think the minus 0.4% in January is certainly good. But what would be the impact specifically from these regulatory changes in the Netherlands?
Jorge Vazquez: Yes. So first, Konrad -- I mean, I don't want to go into, let's say, the very, very -- very detailed. But the 15% is -- it's -- I mean, I'm not -- we don't see that, so I'm not -- I think it's way -- just to be absolutely clear for everyone, that's way, way too high. I think there's 2 things happening, just to be absolutely clear. There's a pension scheme, as you very well know, the pension -- the Future Pension Act, and there's the collective labor agreement changes. And these 2 things, we don't expect them to be not even almost half of what you just -- let's say, half of what you just mentioned. And it's too early to tell what the impact will be, if any, on volumes. What I would say is the first impression is -- or the first signs that the uplift you might get from, let's say, the bill rate effect, the wage components, seems to offset some of the pressure we might have on volume. But more about that later. We don't see more than that. And it's the same with any legislation. There's always a big uproar, and in the end, things normalize into the normal level of flexibility in an economy.
Operator: We have time for one last question. The question comes from Maarten Verbeek from the IDEA!
Maarten Verbeek: In the third quarter, you mentioned that your digital marketplace generated EUR 4 billion in annualized revenue, and exactly the same you mentioned today. So why haven't we seen any progress quarter-on-quarter? And in addition to that, have you set yourself a target for annualized revenue, what you would like to achieve in the fourth quarter of '26?
Alexander van't Noordende: Yes, good question. Well, first of all, how we -- so of course, we need to add more countries and more scope to the digital marketplaces to grow. Yes, North America grew from Q3 to Q4. But let's say, in the bigger scheme of things, that's not a massive number, as you can understand. So it's just a matter of technicalities. As I said, in 2026, we will add more markets, somewhere around 5 to 7 markets with the digital marketplace. So we will add more scope, and therefore, we'll grow. I think it's too early to put a number on that because -- I mean, you can imagine that requires work, that requires go-live. So let's not put a number on that just yet. We'll keep you updated throughout the year.
Jorge Vazquez: Martin, any follow-up question?
Unknown Analyst: No, thank you. That's it. Thank you.
Alexander van't Noordende: Okay. With that, thank you all for joining the call. And before we wrap it up, as always, I would like to thank all our Randstad employees and our employees working for their hard work in Q4 and the hard work they're going to do in Q1, of course. And we wrap up the call here. Thank you very much.